Jon Løkke: Welcome to you. Welcome to everyone following this over the web. Again, we have to do this, unfortunately, only via the web. We hope to welcome you back or at least some of you back in August when we do our second quarter release. In terms of agenda for today's presentation, we will start this time with Nel in brief. We will then move on to the first quarter highlights and the financial review. And then we will talk a bit about our partnership strategy and how we are delivering upon that before we talk about the other key developments of the quarter, and then finish off with questions, Q&A, summary, Q&A. And as usual, you can pose your questions as we move through the presentation, and then we will try to recap those questions at the end. So this time, we will actually start with Nel in brief for new listeners. And we do have a number of new listeners every time we do this. So bear with me for those of you that knows Nel very well, we will do it relatively quickly at this time. And I would then encourage you also, if you want more information about Nel, you can go into our web pages. They have a lot of additional information there, also a number of good presentation that will give you a lot of details on the company and the strategy and all the various elements. We are a pure-play hydrogen technology company. We deliver both electrolyzers and fueling stations. We are the largest electrolyzer producer in the world. We have delivered more than 3,500 systems in more than 80 countries, 8-0 countries. And we're also leading on fueling stations, where we are working on or are in the process of commissioning more than 110 stations in 13 different countries. We're also increasingly becoming a global company. Besides our activities in Norway, in the U.S. and Denmark, we also have organizations and people in other relevant countries like are Japan, China and other places around in Europe, where it's relevant. We have 3 main production facilities in Connecticut, Wallingford. We have more than 50-megawatt PEM production capacity, and we have room to expand in that facility. In Herøya, Norway, we are now in the process of finalizing our 500-megawatt fully automated line, and we have space to expand to around about 2 gigawatt. And in Herning, we have our fueling station facility in Denmark with the capacity to produce 300 stations. And we've been in this business for quite some time. We have a long experience, very long experience in each of the respective areas, around about 25 years in the PEM area, more than 90 years in alkaline and around about 20 years in the fueling area, and that's quite unique. You don't find that anywhere else. And that also means that we have a lot of portfolio of equipment sitting out in the field, which will act as nice references when we talk to new customers. And as mentioned, we are the largest electrolyzer producer in the world. As this overview shows you, we have a good position or a strong position both on PEM and alkaline, and we are pushing very hard to maintain that position. But just because we're largest, doesn't mean that we can relax. We continue to have to push to accelerate and cut cost. But we think that being large gives us momentum, gives us more power to do so. Out of the top 5 on this list, the top 5, 3 of them are Chinese. So that tells you also when you hear announcements and news coming out of the market, it's good to bear this in mind because many of the announcements relate to things that are not even on the list. And I will put this into perspective. We have done some changes to the Nel management team recently to strengthen the team and add more capacity. We've added a Chief HR Officer, a role which is appointed, and we have appointed Caroline to that role. She has a very solid background within the field of HR, and we'll be able to build the necessary structures for us to take the future steps as we grow the company going forward. We have further also added a Chief Strategy Officer to the team with all the various things that are happening in this industry and that may or may not impact the way that we develop our strategy, it has been increasingly important to have someone dedicated to this role. And here, we obviously want someone to -- that knows the industry and that knows the company. And I've been able to convince Jørn to take this role. So I'm very happy with that. And he obviously have been with the company for a long and he knows the industry very well. And to replace Jørn as Head of Fueling, we've been lucky to attract Robert into this position. He has a solid background from the wind industry. And is -- and as you know, the wind industry has been through pretty much the same journey as we now are going through in the field of fueling stations going from small to big, going from local to global and also improving the product portfolio and making it more robust to more reliable, et cetera, et cetera, et cetera. So we think that is going to be good also for the future development. So with this team, we have a strong management team that should be able to take this further. With that, let me then move into the financial review and first quarter highlights. In terms of revenues, we ended at 156 -- NOK 157 million for the quarter, which is quite good and up around about 24% from last quarter. We are relatively happy with this development given circumstances, given the fact that we are still in the middle of a pandemic, and it does generate a lot of negative consequences for us. It doesn't make life easy to run a business, a global business where you rely on installation and commissioning in other parts. So we are relatively happy with that. And the order backlog is again, all-time high, more than 80% up from the same quarter last year. In terms of highlights for the quarter and beyond, we started with launching our $1.50 per kilo target for green renewable hydrogen. We approved 20-megawatt alkaline order for Everfuel in Fredericia. We also signed the PEM 20-megawatt PEM order, so an alkaline and the PEM 20 megawatt. We launched our new MC250 and MC500 PEM electrolyzers containerized. And if you want more information on those products, you can go to our web page and you can also see the first quarter presentation where we have more details, it's based on the new stacked design, new improved stack design. We signed a purchase order with Iwatani for 4 more stations. We signed a purchase order with HTEC in Canada for a station. We signed an MOU with Haldor Topsøe. We signed frame agreements with both Wood and Aibel. We entered a collaboration with First Solar last night, that was announced. And also last night, we approved a purchase order from H2 Energy in Switzerland.  We'll talk about these things in more detail throughout the presentation. As mentioned, we are relatively happy with the revenue development. The year typically starts a bit slow. For those of you that have been following us for some time, you see that year -- every year, both in terms of revenues and in terms of orders, the year typically starts a bit slow, and then we will see it climb quarter-on-quarter as we move forward. As usual, EBITDA was negatively affected by so-called ramp-up costs and nonrecurring other costs. And for those of you that like to kind of back that out, that amounted to roughly NOK 20 million in this quarter. Pretax net income was negatively affected by the fluctuations in the valuations of Nikola and Everfuel as most of the analysts predicted, and those fluctuations will continue also going forward. But we ended the quarter with a very solid cash position. Keep in mind, we also raised a bit of money recently, and we ended with more than NOK 3.2 billion in cash, which is a solid cash position that should allow us to execute on our plans. And as we no longer report EBITDA, adjusted EBITDA on a separate line, we've added some context to what this includes. First of all, as projects are getting larger, and we are building an organization to prepare, we are basically carrying those costs before the project come in and be before we execute. We also have now the entire shift and crew ready to start at Herøya factory, and they are basically there to be trained before we see any revenue effect. So those things are typical ramp-up related costs. But we were also negatively impacted by the COVID-19 pandemic. It's not easy doing business in this situation. We are hiring external resources to compensate for the fact that Nel employees cannot travel. And we're also spending more hours on various projects due to travel restrictions and other challenges. And I think we can safely say that this will continue in the second quarter and maybe also into the third quarter, we will need to see how this develops over time. In terms of order backlog, as mentioned already, the backlog was solid, up more than 80% from the last quarter. And the project pipeline is stronger than ever. However, as the projects are getting larger and it takes more time to negotiate and agree on all the details, these orders may come at different intervals, and we may see fluctuations in the backlog, also going forward, as we have seen in the past. But overall, it is climbing and giving us good coverage going forward, which is good. Then we will move into the section where we would like to talk a bit about our partnership strategy. And here, there's been a lot of activities recently, and we are basically delivering on this strategy. So let me try to kind of explain a bit around this topic. Even if we are the largest electrolyzer producer in the world, we are still a relatively small company, and we need to work with strong partners to extend our reach into multiple areas, different fields. And I'll give you some examples later. Most of you have seen this slide. It's the 6 building blocks that we are building a strategy around, and one of them is called preferred partners. We've basically been systematically working on that topic, and we are now delivering on that promise. As the only independent electrolyzer producer left, I think also there are certain benefits to being independent. It obviously, it can make our life a bit more challenging because we need to do more of these integrations ourselves. However, it can allow us to partner with the best. We really can choose to work with the best because we are independent. I think that gives us an edge into those kind of discussions. So that's good. And that means that we will build relationships will help us to deliver world-class solutions, technology solutions to customers pretty much everywhere. So before I dive into kind of the partnership strategy further -- in further detail, let me provide some further context, and we need to rewind back to the Capital Markets Day that we had in January, where we launched our green renewable hydrogen cost target of $1.50 per kilo. We are now delivering upon that. And if you -- with the cost reduction that we are seeing on equipment, in combination with the cost reductions on renewable energy, we will see that we will turn green renewable hydrogen competitive to fossil, and we will start to eat away into the fossil hydrogen market. We will basically reach grid parity. And based on the cost reductions, we believe that from a large Nel facility in 2025, you should be able then to produce green renewable hydrogen at $1.50 per kilo. And as you see from the assumptions on this slide, it includes cost of capital. It includes cost of land, civil works, installation, commissioning, building, water and lifetime and OEM at 30 bar. And it's important when you compare these targets because after we launched our target, we have seen other companies doing the same, but that's how it is to be a leader, but you need to then look at the assumptions, make sure that all the costs are included into the assumptions. That means that we are unlocking the potential of renewable, which is our slogan, and we are then starting to reach fossil parity, as I said. Now how do we do that? How do we cut the cost? Well, first of all, cutting cost is all about massively scaling up, and we do that through introducing world-class automation. We are developing a fully automated production line at Herøya as we have talked about before, we shall cut the costs significantly. The first step will approximately allow us to approximately cut the cost in half. And when we add additional lines and we optimize the design, we should be able over time to cut the cost in half again. And on that journey, we believe that green renewable hydrogen will outcompete the fossil hydrogen. The new facility at Herøya will run according to the latest and greatest lean manufacturing principles, game-changing cost, 500-megawatt initial line with room to expand to 2 gigawatts. And the initial line will contribute to our customers being able to reduce CO2 emission with around about 1 million tonnes per year, and that's good for our customers. It's good for the climate, and it's good for everyone else. And we are on track. We have completed 33,000 man hours with 0 HSE incidents, which is very important and that we are quite happy about. And we have commenced installation of the production line. We also have a good result in the verification that we have by introducing various technology improvement elements. However, scaling up is not enough. We need to do more. We need to do standardization. We need to standardize the product offering as well as the delivery model. Product offering and delivery model. Tailor-made is expensive and standardization improves both quality and cost. Our systems will then be designed according to the latest and greater safety standards embedded into the design, building independent and will be skid based so it's all -- so we can -- it allows us to do prefabrication, and this will reduce both the lead time and the execution risk of the project. And this is where our EPC partners come in. They become, in this context, extremely relevant. They will support the standardization that we are going through, and it will happen in various cycles. But even more importantly, they will enable us to deliver a standardized world-class, large hydrogen production facilities all over the globe. Our EPC partners are crucial to deliver on the scope, which is required by customers beyond the Nel scope. And that could be things like civil works, utilities, project management, piping, cabling, construction, et cetera, et cetera. There is more than enough to do for all of us in this context. We have secured 2 world-class strategic partners in this category. And they will each use their unique capabilities and work in different -- within their respective areas. The first agreement that we announced was with Wood Group. They have a global footprint, and they have offices in more than 60 countries. They have 40,000 employees worldwide and wide capabilities as an EPC suppliers on a global basis. We're already working with Wood on potential projects in Australia and the United Kingdom. The second agreement that we announced was with Aibel. Aibel is a leading Scandinavian-based EPC company and have experience from a wide -- from a long range of projects in the oil and gas industry. But increasingly, renewables has become a part of Aibel and in particular, the offshore wind area, which is also going to be relevant for electrolyzers going forward. They have about 4,000 employees in Norway and Southeast Asia. And we also have yards in Haugesund and Thailand, where we can do prefabrication and modularization, and that is -- can become very important. Aibel is already supporting us on the Iberdrola project in Spain, but we're also working on other potential projects across Scandinavia and Northern Europe. And with these 2 partners, we're basically working with the best in the world, and we're covering the globe. And we have strengthened the global delivery and project execution muscle which is very, very important for Nel. Okay. So I've now basically explained the EPC partner strategy, but we also have developed all the partnerships that help us in other parts of the value chain. And as you can see from this image, we are smack in the middle of the value chain between mobility applications, industrial applications and the renewable power. And that is basically the area that we sold, but we want to be able to integrate forwards and backwards to be able to support a better product offering. Each of our partners that we work with are world-class partners within their respective field, and they want to work with Nel, and we are very grateful for that trust and interest. 2 such partners are First Solar and Haldor Topsøe, which will support new both upstream into renewables and downstream into important industrial applications. So let me start with Haldor Topsøe, which is the leading technology company or technology provider for both green ammonia and green methanol solutions. And again, we can now improve the combined product offering by delivering integrated electrolyzer and green ammonia facilities. For example, we can deliver to our customers a hybrid plant, where you add more green capacity on an already existing fossil solution or we can deliver greenfield facilities. And we're already working on a number of potential projects in different parts of the world. And last but not least, last night, we announced a collaboration with First Solar. First Solar is a leading manufacturer of solar panels and modules, but also, even more importantly, maybe a developer of utility-scale solar power plant. Utility scale, very large solar power plant, which could become very relevant for hydro production. And with this partnership, we will further improve the offering and improve the integration between renewable solar and hydrogen production. And initially, we will start -- we will collaborate on developing the integrated controls, the SCADA system. But over time, you could see more and more integration and also sharing some of the hardware between the power plant and the electrolyzer. This should eventually result in low-cost of renewable power to hydrogen, and we are here then combining the proprietary technologies of the 2 companies. So that was the partnership strategy. That's where we are at the moment, and we're quite happy with the progress that we've made in recent periods. Now let me then run through some of the other key developments of the quarter. In the beginning of 2020, we approved the agreement for a 20-megawatt alkaline electrolyzer plant for a partner Everfuel. They have made great progress, not only there, but also in other parts of their business. And this will support green hydrogen production at the refinery in Fredericia in Denmark. And there is space to grow over time this facility can become significantly larger than the 20 megawatt. The initial order has a value of slightly more than EUR 7 million. In January, we also signed an agreement with Iberdrola to deliver a 20-megawatt PEM solution to Portolano. So we have a 20-megawatt alkaline, 20-megawatt PEM, basically showing the capabilities and the importance of being on both platforms. Iberdrola is one of the largest electricity utilities in the world and have facilities in many parts. Together with the leading fertilizer producer, Fertiberia, they launched a project that will become the largest green fertilizer facility or production facility in Europe. The project includes 100-megawatt solar, 20-megawatt hour of battery and 20 megawatts of electrolyzer capacity. And the target here is to produce green fertilizer and to get -- start producing hydrogen already in 2021. And at that time, this will be the largest electrolyzer facility in operation in Europe, and it will certainly be the largest PEM facility in Europe, and that's good. We signed a purchase order for another 4 stations from Iwatani, Iwatani Corporation. They are an owner-operator of stations, and they are actually the largest owner-operator of stations back in Japan, but they are now moving into other parts of the world and have focused on California, where we are supporting them with equipment.  And with this last PO for 4 stations, they have in total ordered 18 stations. This PO around about NOK 40 million on top of the announcements from the fall of last year of around about NOK 150 million. The equipment will be installed at multiple sites throughout California, and we are obviously very happy to have a return customer like Iwatani. And yesterday, the Board approved the 2-megawatt PEM order from H2 Energy. This is an order that is part of the frame agreement, the 30-megawatt frame agreement, which we signed back in 2019. And as you may remember, H2 Energy is a partner, is partnering with Hyundai trucks, and they are introducing 1,600 trucks, Hyundai trucks into Switzerland. So this electrolyzer will then produce green renewable hydrogen to support the increasing number of trucks in the country. So with that, I think we have been through the main part of the presentation. Let me then go through the summary and an outlook. But before we do that, let me just remind that we, in April, published -- launched our first ever sustainability report according to the latest and greatest reporting principles. And we are working with sustainability every day, 24/7/365. You might wonder why we would spend a lot of time making a sustainability report, but the reason is to make it easier for investors that have this as part of their requirement, investors that focus on ESG and sustainability and make it easier for them to potentially also have an investment in Nel. We will obviously continue to develop this report over time. We will make it more sophisticated, both the report itself, but also the parameters that we are reporting on. The outlook is exactly the same as it was in the Capital Markets Day. And at the first quarter presentation, so I'm actually not going to repeat what was said there. I'll rather try to summarize at the end. With Nel being a pure-play independent technology company with a proven track record, we have decades of experience within both PEM and alkaline. We have constructed, owned and operated some of the largest renewable hydrogen plants in the world, and we see that experience is becoming increasingly important. Through scalability and cost leadership, we think that we will continue to cut equipment cost significantly in the years to come, enabling green renewable hydrogen to outcompete fossil hydrogen. And we're now delivering on a strong partnership strategy. We are working closely with leading EPC companies to strengthen our project execution muscle, and we're also improving the product offering both upstream and downstream, working together with leading companies like First Solar and Haldor Topsøe. And that takes us to the main part of the presentation. So with that, I will ask Kjell Christian to join me up here, and we'll see if we can cover some questions.
A - Kjell Christian : Very good. Good. We have gotten a number of questions. Some of them have been answered during the presentation, and some of them have also been answered on our Capital Markets Day. So we are summarizing a few of the questions and grouping them together. But I see there's a group of questions around technology again. So we get the question, what is better PEM or alkaline, for what applications, some see that Shell and ITM has launched 100-megawatt project of PEM in Germany. And then others are referring to Haldor Topsøe also having their own solid oxide. And there has been a lot of solid oxide news in the market. So again, maybe as a reminder, what is our view on the different technologies and when they are suitable or not?
Jon Løkke: Yes. Well, first of all, we believe that it's important to be on both PEM and alkaline platform simply because we think that we can do a lot of business on both. And we certainly don't think that -- we think that the jury is out when it comes to who will be the long-term winner. We see now a significant reduction on alkaline. And in some areas is running faster than PEM. However, PEM also has a very attractive long-term potential, we believe, in combination with the development that we see within fuel cells. So the jury is out. And we want to have -- be on both platforms, we can do business there, and it's a technology hedge. Now roughly, alkaline is cheaper from a CapEx perspective, is more efficient. However, it has a larger footprint. PEM has a smaller footprint. So if you have a limited space, you need to squeeze your facility between existing buildings, then you may want to add a bit more cost and also -- but you then need to also take into account that the efficiency, the conversion of electricity into hydrogen is a bit lower.  So we saw that for the Portolano facility with Iberdrola. It is tight, so they have to have a PEM facility. But when they build 100-megawatt 200 megawatt, 300 megawatt, they may consider alkaline. So we think it is important to be on both platforms. When it comes to solid oxide, that's a high-temperature electrolyzer technology, which is still in an early phase. It's still in early phase. The stacks are very small. The materials are ceramic and quite expensive. However, it is a technology that we will keep our eyes on because as we move over time, in the next number of years, we will potentially see step changes in that technology. And at that time, Nel may want to take a position. It is so far more of a niche, but it could be become increasingly relevant also going forward. So we will keep an eye on that, and we also keep an eye on the number of other technology elements, which we think is important going forward.
Kjell Christian: And then we have a more detailed technology question on iridium prices, which have spiked recently. Are we concerned about iridium? Are we concerned about the risk?
Jon Løkke: Well, I mean, it does contribute to higher cost on the PEM side, not on the alkaline side. The alkaline doesn't rely on any kind of exotic materials or any scarce materials. So that's the beauty of alkaline. But on the PEM side, we do see a negative effect on the cost. We will obviously work systematically to address that. We always try to reduce the number of platinum and iridium, and we have a road map to reduce the content of platinum and iridium, but I think it's a space that we have to watch. There may be other topics also coming up. And that's the way it is very often when an industry is growing, you will see bottlenecks here and there. And you will try to -- you need to try to predict it when you can and work systematically to address it both short term and long term.
Kjell Christian: And talking about some of the partners we have talked about earlier, Nikola, there is a repeat question that we get every quarter on progress on Nikola.
Jon Løkke: So I think we have seen some good progress from Nikola lately. They have a fueling station partner, which will at least cover part of the locations. They are now narrowing in on where these locations are going to be, and that's going to make easier to tailor the supply delivery to a specific location. In the meantime, we still have the electrolyzer order. Nikola still pays according to the agreement, and we intend to start delivering on the electrolyzer order towards the end of this year. So I guess that's where we are with Nikola.
Kjell Christian: We have gotten a couple of questions about the pipeline. And we did give a pipeline overview at the Capital Markets Day in January. And the reason why we're not repeating that is because there are so many uncertain numbers. By tweaking the probability of a project a bit, you can really increase the pipeline a lot. So for those of you who want more detail about the pipeline or sales outlooks by a different market, we refer back to the Capital Markets Day for that.
Jon Løkke: And the pipe isn't smaller now than it was at that time.
Kjell Christian: No, definitely not. We get a few questions about the Herøya ramp-up. Are we online? And how fast will we fill the factory basically?
Jon Løkke: Well, I think we at least answer the first part of that question, and that is, are we on track? And that we are, we are installing equipment as we speak. We will start to run the facility dry before the summer, and we will then fill chemicals when we come back after the summer and start ramp-up in August, September. And then we will start commercial production. We will need to align the ramp-up with the market, but initially, we obviously have signed a lot of alkaline orders also for Nikola. So we basically need this capacity to be able to deliver on those. And then we will need to see how quickly we ramp and when we add additional lines when need for that becomes relevant.
Kjell Christian: And related to that, our expansion at Herøya is 5x the global market for electrolyzers. And we do touch upon that in the outlook section that not only we and others are adding competitive and now adding capacity, and that is definitely leading to some competitive pressure. Do you want to expand a bit on that?
Jon Løkke: And we have said at least in the past, that sometimes when we move into a new market or a new application or we have a customer that we really want to work strategically with, we may want to give some competitive pricing in particular. But there are also -- in some projects, there are -- there is a fundamental competitive pressure on the pricing. That's for sure. They are not -- there are still -- we still need to see more concrete being poor, more steel being welded when it comes to real projects. Yes, we have started to see some projects, but the big gigawatt projects, you still need to see. We still need to see the PO, the first 100-megawatt project being executed. There is a lot of announcements, but there is a difference between an announcement and ambition and actual concrete and steel and metal being pooled. So we are at least ready to expand, and we are maybe a bit early, but I think it's better to be early than be late. That's the same way we did on the fueling station. We built a facility that is capable of delivering more, and then it's easy for us to add capacity, add shifts to do that. And again, it's better to be, we think, early than too late.
Kjell Christian: We've gotten a couple of questions around the near term or actually also a recent mass market. So we had a slide here with sales in 2019 from the major producer because that's the last data we have. But do we have an impression of 2020? And also, the 2024 EU ambition, how achievable does that look from where we are standing right now?
Jon Løkke: When you say 2020, do you mean then the relative size of the different companies?
Kjell Christian: The total size of the market.
Jon Løkke: The total size of the market. No. I think we should be able to come back with that in the second quarter presentation. I think we need a bit more time to gather that. I think Europe is soon running out of time because they are supposed to install 6 gigawatt before 2025, and that will take a bit of time. So we need to see 100-megawatt orders being placed this year as a minimum to be able to achieve that. So I think there is a sense of urgency throughout the different nations in Europe. And everyone is working hard on the and other kind of project frameworks that can be used.
Kjell Christian: And I guess that goes a bit back to the partnership strategy because we also see that all the products currently in the pipeline is the first for the customer, first for the EPC company, first for the equipment manufacturer, et cetera, et cetera. And related to that, we have got some questions about these EPC partnerships. How exclusive -- how tight are they? What is really the scope? Could we expand a bit more on that?
Jon Løkke: Well, when it comes to everything that related to IP and design, obviously, there, it's completely exclusive in the sense that no one could share, our knowledge, our IP, our design. No one can use that without -- in our context. But in some areas, we may have a customer that actually has an EPC. That happens quite regularly. A customer, a large industrial customer comes to us says, I want to have a hydrogen plant, but I do have already this relationship with EPC, so I would prefer to use that. Then obviously, we would need to support our end customer in terms of using that EPC. So you can't make this completely exclusive because then it doesn't work. You need  to work constructively and build on the strength of the 2 partners that we have. And the beauty here is that they don't have a lot of overlapping activities. They're pretty much very complementary, and you need to work constructively to generate a positive momentum in these relationships rather than kind of playing the legal game here.
Kjell Christian: We have also gotten a question on the quarterly fluctuations on revenues in the electrolyzer segment. And one of the things to keep in mind there as well is, in addition to the fact that orders get a bit -- order intake gets a bit more bumpy as the order size increases, 1 or 2 of these megawatt scale installations when delivered to customer, the progress reporting on that is extremely important. So in this quarter, we also have quite a buildup of working capital as we are progressing on some of this, but not necessarily able to take the full revenue yet. Then as a last one, before you can sum up. We've gotten a couple of questions about Australia. Apparently, it was a surprise that we have Australian ambitions to some of our listeners, and they are worried about how we could even win something there and if that is the reason why we are partnering with Wood. But as you know, we have already won quite a couple of important projects in Australia. So do we have some perspectives on the Australian market?
Jon Løkke: Well, Australia is -- in addition to U.S. and Europe, Australia is actually the nation that has announced the most -- the highest ambition on electrolyzers. And they really want to become a green hydrogen production hub for Southeast Asia. They even have ambitions to export hydrogen to Japan, for example, for those of you that follow closely. We won a project in Australia back a few years ago. The first -- that was the first power to gas project. It was a PEM project. It was a small project, but it was at least the first initial step and the foot in the door, and we've been working systematically with our relationships and partners into Australia. But we now also need an execution muscle and we need to rely on someone large, like Wood to do that because Australia is quite far away. And you don't want to start from scratch and build up your whole large new organization yourself when you want to enter. At least you want to win a few projects and get the ball running before you do that. So for that point, Wood gives us exactly what we need. This is basically this execution muscle when we are looking at large projects. So we will continue to work with Australia. There is a great potential, and then we will see if and when we are successful and closing some margins there.
Kjell Christian: Good. I think that concludes the question we have time for at this point in time.
Jon Løkke: Very good. Well, thank you very much for joining us this time. And hopefully, we will see a few of you in the room together with us in August. So until then, thank you very much.